Operator: Welcome to the Workday’s First Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of the conference. With that, I will hand it over to James Redfern.
James Redfern: Welcome to Workday’s first quarter fiscal 2017 earnings conference call. On the call, we have Aneel Bhusri, our CEO, Robynne Sisco, our CFO, Mark Peek and Phil Wilmington, our Co-President. Following Aneel and Robynne’s prepared remarks, we will take questions. Our press release was issued after market closed and is posted on our website where this call is being simultaneously webcast. Statements made on this call include forward-looking statements, such as those with the words will, believe, expect, anticipate, and similar phrases that denote future expectation or intent regarding our financial results, applications, customer demand, operations, and other matters. These statements are subject to risks, uncertainties, and assumptions. Please refer to the press release and the risk factors in documents filed with the Securities and Exchange Commission, including our most recent annual report on Form 10-K, for information on risks and uncertainties that may cause actual results to differ materially from those set forth in such statements. In addition, during today’s call, we will discuss non-GAAP financial measures including non-GAAP operating losses, operating margins, free cash flows, earnings per share and interest expense. These non-GAAP measures exclude the effect on our GAAP results of share-based compensation, employer payroll tax-related items on employee stock transactions, amortization of acquisition-related intangible assets, and debt discount and issuance costs associated with our convertible notes. We will also discuss free cash flows which are define as cash flows from operations less certain capital expenditures other than owned real estate investments. These non-GAAP financial measures, which are used as measures of Workday’s performance, should be considered in addition to, not as a substitute for, or in isolation from, GAAP results. In addition on today’s call, we will discuss forward-looking outlook for non-GAAP operating margins. A reconciliation of our forward outlook for non-GAAP operating margins with our forward-looking GAAP operating margins he is not available without unreasonable efforts as a quantification of stock-based compensation expense required additional inputs such as number of shares granted and market price that are not ascertainable. You can find additional disclosers regarding these non-GAAP measures including reconciliations with comparable GAAP results, in our earnings press release and on the Investor Relations page of our website. Also, the Customers page of our website includes a list of selected customers and is updated monthly. The webcast replay of this call will be available for the next 45 days on our company website under the Investor Relations link. Our second quarter quiet period begins at the close of business July 15, 2016. Unless otherwise stated, all financial comparison in this call will be to our results for that comparable period of our fiscal year 2016. With that, let me hand it over to Aneel.
Aneel Bhusri: Hello everyone and thank you for joining us today. I am pleased to report that we're off to a strong start in fiscal year ’17 with our Q1 results following an excellent fiscal year 2016 and an especially strong Q4. Business was strong across product lines and geographies and in the first quarter we welcomed almost 100 new HCM customers and more than 20 financial management customers. New customers included ConAgra Foods, Best West International, L.L.Bean, Cerner Corporation, Finnair, Financial Times and Premier Healthcare Services. We are particularly pleased with the progress we've made in Europe and are beginning to see similar levels of success in the APJ region. During this past quarter, I personally spent a week in Australia and New Zealand and came away very excited and with a belief that we can be a leading player in that region. As we all know sales is only part of the equation for success in today's world of cloud solutions. The real differentiator in our marketplace is our ability to get customers into production, so that they can get value from our modern cloud business applications. To that end, I'm pleased to report that we once again saw several large organizations go-live with Workday in Q1 including companies such as 3M, Hitachi, DS Smith, Memorial Hermann Health System and Warner Music Group. As we head into the rest of fiscal year 2017, we believe we are well-positioned for continued growth and customer success. Our pipeline is healthy especially for the second half of the year, and we saw little to no change in the competitive dynamics and win rates as it relates to our main competitors. Going forward, we plan to put more emphasis on selling and servicing medium-sized companies on the heels of the development of lower-cost deployment technologies that we've built for the segment of the marketplace. From a product line perspective, we continue to innovate rapidly and are on track to deliver Workday Planning, Workday Learning and Workday Student later this year, which we believe will accelerate our momentum based on very positive initial customer feedback and interest. The HCM market continues to grow nicely and we're the clear leader in terms of product capabilities and customer satisfaction. We continue to see healthy demand for HCM across the board and as I mentioned earlier are seeing growing momentum in some of the international markets where we have entered in the past few years, and we continue to see growing demand for our financial management applications. In a recent report Gardner predicted that by 2018 at least 25% of new core financial application deployment in large enterprises will be with SaaS solutions. Given the lack of focus on true cloud financials by our main competitors, we believe Workday is well positioned to enjoy success with financial applications, much like that we have with HCM. And I am pleased to report we saw financials adoption begin to spread to other parts of the globe as we added new customers in the UK, Netherlands, France and Finland. In this past quarter, we also continue to build and strengthen our senior management team as we aim to grow our business from 1 billion in revenues in fiscal year 2016 to 3 billion in the upcoming years. To that end, we're very pleased to welcome Diana McKenzie as our new and first CIO and equally excited to promote Robynne Sisco into the role of CFO after several years of as our Chief Accounting Officer. Workday is now 5,500 employees strong across the globe and I'm grateful for all their hard work across all parts of our business. Lastly, I wanted to address the topic of profitability as many of you know profitability has been a core value of the company since Dave and I started Workday back in 2005. For the past several years we have been primarily focused on growth but have always kept our eye on our path to profitability. To that end, the senior management team spent a few days offsite earlier in the quarter planning our path towards profitability over the next few years both from an operating margin and cash flow generation perspective. We came out of that session with a clear strategy that has since been shared with the whole company. I hope to share progress with you on that front on an ongoing basis. With that, I will turn over to Robynne
Robynne Sisco: Thanks Aneel. Good afternoon everyone and I thank you for joining us. I look forward to working with all of you over the coming quarters and years and I am excited to be joining Aneel, Mark and Phil on this call. I joined Workday prior to our IPO and it is a great privilege to step up to the leadership role as CFO and to continue preparing Workday for the many years of strong and profitable growth we see ahead. With that, let me turn to our results from the first quarter of fiscal 2017, we started the year with a strong first quarter generating record quarterly revenues, strong billings growth as well as strong trailing 12 months operating cash flow and free cash flows. We continue to grow at an exceptional rate and thank our new and existing customers for their continued support. Our total revenue for the first quarter of fiscal 2017 was 345 million, an increase of 38% from a year ago and within that our subscription revenue grew 39% to 280 million. We continue to demonstrate strong momentum across all our subscription revenue growth drivers, new customers, renewals and sales of additional products to existing customers. Our professional services revenue grew 31% to $65 million. As we mentioned on our last earnings call, given our success in simplifying implementations combined with the growth and maturity of our partner ecosystem we are increasingly shifting our go-to-market approach within professional services towards our partners. While Q1 was a strong quarter in services going forward we will not be ramping our professional services organization at the same growth rate you've historically seen. Our total derived billings, which is the sum of revenue and a sequential change in total unearned revenue was 372 million for the first quarter or a growth of 37% over last year. Total subscription billings which is the sum of subscription revenue and the sequential change in total unearned revenue, grew 38% to 306 million. Let's spend a few minutes on operating expenses and our results of operations. Unless otherwise noted, all references to our expenses, operating results and free cash flow are on a non-GAAP basis and are reconciled to our GAAP results within the tables posted on our IR website. Our non-GAAP operating profit for the first quarter was $11 million or an operating margin of 3.2%. As Aneel discussed the senior leadership team is focused on profitability as one of our core tenets. Q1 operating expenses benefitted from strong operating leverage and better than anticipated gross margins for professional services. While we are pleased with our margin performance in Q1 which indicates the increasing profitability of our model we've not changed our focus on prioritizing growth over margins given the large opportunities still ahead of us. Our trailing 12 month operating cash flow for the quarter was 328 million, growth of 90% over the comparable period a year ago. Our free cash flow was also strong increasing to a 188 million in the trailing 12 months greater than 10% of our trailing 12 month total revenue and not more than 200% from the same period a year ago. Note that in calculating free cash flow we have excluded $19 million related to our owned real-estate investments as we consider such investments non-recurring in nature. The strength of our cash flow in the quarter means that we now have $2.1 billion of cash and marketable securities on our balance sheet which continues to provide tangible evidence to our customers of the strength of our business and provides more than ample cash for our capital expansion and strategic M&A. In addition unearned revenue on our balance sheet at the end of Q1 was $926 million which is 42% growth year-over-year. Current unearned revenue which will be recognized over the next 12 months was $798 million or annual growth of 39%. The financial visibility provided by the future subscription revenue which reflects the long term nature of our contracts continues to give us high confidence in the sustained strength of our business. Operationally we continue to execute well against our vision, we successfully added over 300 employees to Workday this quarter bringing our total employee count at quarter end to over 5,550. Let me now turn to guidance, for Q2 fiscal 2017 we expect derived billings, which is the sum of revenue and the sequential change in unearned revenue to be approximately 420 million or 34% growth. Our subscription revenue forecast for the second quarter is 303 million to 304 million or 35% to 36% growth. We expect Q2 total revenue to be 371 million to 373 million or growth of 31% to 32%. The professional service is growing only 15% to 17% year-over-year in Q2 as a result of our pushing more services to our ecosystem. For fiscal 2017 we currently expect the range for our derived billings to increase to 1.87 billion, to 1.885 billion or 31% to 32% growth. We continue to estimate that our subscription revenue for fiscal 2017 will be 1.275 billion to 1.285 billion or growth of 37% to 38%. As we pointed out last quarter the timing of revenue recognition can be impacted by the amount of cash we bill and other contractual factors and we anticipate this will impact subscription revenue growth this year by up to five percentage points. As mentioned earlier with the shift in our go-to-market strategy with respect to services we expect professional services revenue to be approximately 270 million in fiscal 2017 or growth of 16%. Given these components we expect total revenue for fiscal 2017 will be 1.545 billion to 1.555 billion or growth of 33% to 34%. We continue to prioritize growth versus margins while maintaining our long term goal of 20% plus non-GAAP operating margins. While the positive margin we achieved in Q1 reflects the financial strength of our model, we do not anticipate maintaining that level of profitability next quarter or for the full year. We continue to expect non-GAAP operating margins will be approximately breakeven for fiscal 2017 with the Q2 operating loss between 1% and 3%. The change in our operating margins between Q1 and Q2 is driven largely by our expectation around hiring in Q2 and increases in cash compensation from our annual merit cycle that came into effect on May 1. The GAAP operating margins for the second quarter and the full year is expected to be approximately 25 to 27 percentage points lower than the non-GAAP margins due primarily to the impact of share based compensation expense. Broad equity ownership among our employees remains one of our core principal and we continually monitor our compensation arrangement with review to maximize our long-term free cash flow per share. When calculating our free cash flow, we are excluding owned real estate investment projects as we consider these to be non-recurring in nature, excluding these projects our CapEx in the first quarter was 34 million and 140 million on a trailing 12 month basis. We expect CapEx for fiscal 2017, excluding owned real estate investments to be approximately $185 million. Cash flow is inherently difficult to forecast on a quarterly basis due to the changes in working capital, so we continue to expect operating and free cash flow growth excluding owned real estate investments to approximate growth in billings for fiscal 2017. We continue to expect capital expenses related to our owned real estate investment projects to be approximately 125 million. Finally, we believe passionately in what we're trying to achieve as a company and we're still in the early stages of executing on a very big opportunity, we appreciate your interest in Workday and value your support of our long-term ambition. With that, let's begin the Q&A process.
Operator: [Operator Instructions] Your first question comes from line of Keith Weiss with Morgan Stanley.
Keith Weiss: Thanks for taking the question guys and very nice quarter. I just was hoping if you could clarify on the commentary on speaking about the margin profile on a going forward basis. Was the result of those discussions that you guys aren’t going to change your view on margins and still look at growth over-margin or is there some change in the margin profile, or were you just trying to point out that Q1 was normal versus the unchanged long-term priority?
Aneel Bhusri: I think Q1 is probably anomalous; the business plan for the year is pretty much set in stone at the start of the year, and we’re not really going to deviate from that. My comments in the opening remarks were much more about our focus for fiscal year '18 and beyond and the importance we're making throughout the company of getting to significant levels of profitability in the near future. The fact that it happened this quarter I think was really just a coincidence.
Keith Weiss: Got it. And were there any difficulties in hiring or bringing or finding the people that you needed that maybe essentially push some of the expenses out of Q1 into Q2?
Aneel Bhusri: We were behind in some pockets but in general I think we're pretty much caught up and I suspect we'll continue to hire well, I actually think the hiring environment is pretty attractive right now, the draw for many of the startups in Silicon Valley is not what it was just a year or two years ago.
Robynne Sisco: Keith, as we see the full quarter impact of Q1 hires and we continue to hire aggressively in Q2 that plus the - our [indiscernible] that goes into place May 1, of the merit cycles for our employees will really drive the lower margins in Q2.
Keith Weiss: Thank you, guys.
Operator: Your next question comes from line of Brent Thill with UBS.
Brent Thill: Aneel you made a comment about the pipeline being healthy in the second half. I would assume that is tied to the on track release of Planning and Learning. I'm just curious if you're starting to see some of the deals now impacted, larger commitments, larger deal sizes as a result of those two solutions coming and what you're seeing in terms of the dynamic in the field with those on track for the second half?
Aneel Bhusri: So we've had a healthy pipeline for our student systems for quite some time. I think in the recent few months, we've seen Learning and Planning really jump up in terms of activity in the pipeline and interest from our customer base and I’ll turn it over to Phil and provide more color on what we're seeing with the new products
Phil Wilmington: Yes, there is a lot of interest in Planning and Planning takes on really kind of two points of impact for us, one on the financial side which certainly enhances our ability to have larger transactions in financials, and the other is in the workforce analytics area, so it enhances our ability across the platform to look at larger transactions and I think you will see that impact in the second half of the year. Learning now outside the student area and in the corporate setting and environment as that product rolls out in the second half of the year will make -- give us the opportunity for larger transactions in human capital management. So on both platform fronts of our business, the addition of analytics certainly provides us with opportunity for larger transactions.
Brent Thill: And just a quick follow up on financials, the street has been pretty focused in your ability to go up market, understandly into the Fortune 500, there are a lot of logos that you announced, but I guess in terms of the big ones that, you saw in Q1 and financials, could you just call out a couple of highlights if there were and if there weren't, maybe just give us a sense of what that’s looking like there.
Aneel Bhusri: I would say general Q1 was not a big deal quarter for either of the product categories. We had a huge Q4 of big deals and Q2 and the rest of the quarters have them. Phil can talk about the ones for financials, I will say that there are many big financial deals in the pipeline for this year. I don't know which ones will close or when they'll close, but the number of big ones popping up in the pipeline has gone up quite considerably in the last, I think in the last 90 days.
Phil Wilmington: Yeah, the pipeline continues to grow and we had some large financial wins in Q4 and we'll see some in the second half of the year. We're pleased with the number of transactions we had in the financial area Q1 and the impact of seasonality with the close going on in many large financial, well in all companies within large financial organizations impacted us a little, and also our transition to bringing all of our sales organization online probably impacted us a little bit as we prepared the entire team to sell the products on a go forward basis. We're very excited about the number of large transactions as well as the overall transaction volume in the pipeline so I'm certain you'll see those as we go into the second quarter and then the second half of the year.
Operator: Your next question comes from the line of Mark Murphy with JPMorgan.
Mark Murphy: Thank you very much, I'll add my congratulations. Just following up on the last question, Aneel, I did want to ask you in general how is the broader field sales force responding to the stronger incentives that you put in place this fiscal year to have them sell Workday financials more broadly. I'm wondering just in general, is that generating the type of behavior that you intended and in fact producing a greater pipeline for later in the year, and also are you seeing signs that they can master the financial selling motion without taking their eye off the ball in terms of core HCM for this year.
Aneel Bhusri: You know the changes went into effect early in Q1. We've definitely seen the positive impacts, I will say and I think Phil echo it that it took a little longer to snap the new organizational model into place and get the approval processes in place. So that probably did have a little bit of an impact in Q1, but now we're seeing the benefits of that that shift and again you know from a product perspective we really rely on our pre-sales people on the financial side to drive the functional story and how we compete. On the sales side you know the relationships that the reps have at the CIO level and the CHRO level are really valuable as we sell financials in many cases back into that installed base and frankly the key player in that equation is the CIO, if we've got that CIO on our side after a successful HR deployment in many cases that individual actually opens up the door for the finance side and the sales cycle looks very, very similar to the HR sales cycle.
Operator: Your next question comes from the line of Justin Furby with William Blair & Company.
Justin Furby: Hi guys, congrats on the quarter, thanks for taking my questions. I guess for either Aneel or Phil, was wondering if you could comment on the competitive dynamics you're seeing specific to financials. I guess once a company makes a decision they're going to either make some sort of change whether it'd be upgrading the next version of on premise or moving to a new system, how do win rates look for you specific in financials versus HCM and what's been the trend there, and Aneel how many live customers do you think you need before you have sort of a critical mass within the financials category and I've got a couple of follow ups, thanks.
Aneel Bhusri: I'd start with the second part of that question first. I think we have enough customers live on financials now and that's why the pipeline is doing so well on the financial side, and we've validated that with recent financial wins. It's not like it was a year or two years ago. So I feel very confident and in terms of large organizations being live, J. B. Hunt going live with the scale of transactions that they have was very-very helpful for other larger organizations, who frankly are looking at us from a scale on performance perspective and looking at peers that have their similar scale requirements and so J. B. Hunt is a very, very valuable reference for us now. You know in terms of the other part, I'll just turn over to Phil.
Phil Wilmington: Yes, I think I would maybe combine a little bit of this answer with the tail end of the question that was asked previous. I think our sales force is certainly excited about what it’s selling because the cloud has been substantiated on the platform side for not only HCM but financials and now for analytics like our planning solution. And this is a sales force that's now been prepared to be the only one in the industry that talks about that on the same technology stack. So our products are integrated and as Aneel said the involvement of the CIO along with the CFO and the CHRO are all involved in that decision process. We're coming in with one integrated product to address that need. Unified.
Aneel Bhusri: And that's actually one true product platform rather than some of the competition where they actually integrate lots of different technologies together, yes.
Phil Wilmington: Good point. And I think it's a tremendous competitive advantage that we're seeing growth in the pipeline and also our ability for our sales organization to get to the right levels of these organizations with this unified solution.
Aneel Bhusri: That’s a no from a competitive perspective, when we look at the landscape SAP still does not have a cloud offering for financials. Their strategy is S/4HANA, HANA's a database, HANA does not equal cloud and far as I can tell they don't have a multitenant true cloud offering what’s even underway for financials, so that’s a big win for us. And from the oracle perspective, I think they claim Hyperion hosted as cloud. So we just see a lot of run rate, a lot of opportunity and that two comes out in the same cycle.
Justin Furby: That’s helpful. And then I want here international, so it seems like that’s an area where quarter-over-quarter allow your partners or even incrementally more constructive on. So I guess, can you give us sense or pipeline growth there and how would you sort of quantify that opportunity as it relates to financials in terms of impacting billings growth this year and like that one last of sort of healthy penning for Robynne. Thanks.
Aneel Bhusri: So as a relates to international pipeline growth over the last few quarters we’ve seen more material growth in international markets than we did even in the North American pipeline on a percentage basis. And I think some of those markets were little slower to embrace the cloud and I think that is now going away, I think that there is more, the cloud is more readily accepted for ACM and for financials. And that’s one of the reasons that we’re seeing pipeline growth. In addition to that that’s the growth in the strength of our reference ability across our customer base and while many customers of ours currently may have started in North America, they have increased their deployments to include their international operations and with that comes recognition of the stability of our platform, the reference stability of our platform and because of that we’re see in pipeline growth in each of the theaters.
Phil Wilmington: And I would just add that the scale of the international opportunity right now is bigger than the scale of the financials opportunity for this year. But they’re somewhat intermingle, one of the things driving the international opportunity is the introduction of financials. And for the first time we saw multiple sales outside of North America, we saw multiple sales of financials in Europe across five different countries. We haven’t seen not before sort of one fee the other.
Justin Furby: Got it, that’s helpful, thanks. And then Robynne really quickly, first congrats on the new role. I was just wondering if you could provide a little color on seasonality specific to the second half of a year both from the billings and subscription revenue basis. Thank you.
Robynne Sisco: Thanks Justin. So from subscription revenue basis when we look at the second half, we’re seeing for Q3 subscription revenue in the range of 329 to 331ish and we see professional services has been flat from Q2 to Q3. From a billings perspective, we expect to follow largely seasonality that you’re seeing last year.
Justin Furby: Got it. Thank you very much.
Operator: Your next question comes from the line of Heather Bellini with Goldman Sachs.
Heather Bellini: Great, thank you for the question and I apologize if this was touched on a little bit already. I just wanted to ask a little bit with the change in how your structure the sales force earlier in the year. Kind of how do you see that play out and the efficiency of that in terms of driving leads and conversion now the people are selling every day? And also just given your comments earlier about making it easier for smaller businesses to deploy so spending time with those customers. How are the sales people kind of putting our timing between the elephant hunting and kind of the bread and butter of the small or mid-size of the market? Thank you.
Aneel Bhusri: So I’ll take the second question first and then Phil can take the first question. On the second, when we have the sales force stratified and so we have a segment of the sales force that only focuses on the mid-market. And what we’ve found there is that well our product assumes an excellent fit, the deployment time and costs financially fit with the mid-market budgets. So starting over a year ago, we start investing heavily and deployment tools and technologies led by [indiscernible] tool out of Dublin, who is one of the founders KClear and has being with us now for, I think coming up on seven years. We’ve build into incentive tools that dramatically reduce the costs of configuring Workday. And we think as we bring these tools to market, we can be very competitive with the lower end offerings in that marketplace to get those to hold up our pricing. So I’d say, it’s a net new opportunity for us, it’s not an area we focused on and as we understood more about that market, they were more price sensitive on the implementation side and we found the way to automate much of that’s really make it an attractive market for us. And then you want to talk about the combining HR finance sales force.
Phil Wilmington: Sure. Yes, thanks Heather for the question. I think probably one of the biggest area is just overall relationships with the large accounts. When we had people selling HCM go in they do the HCM transaction and they’ve move onto others. I think you’ve heard us to talk in many of the calls about long-term value with the customer and it does announce with just HCM transaction or financial transaction. It really builds off of a knowledge of the account, the penetration into the account and knowing that account and needs of that account as a relates to the cloud platform. Our people now able to focus on that entire relationship invest in it and make sure that there is a smooth transition from the evaluation of one particular product suit to our other product suits and then the successful implementation. So we’re making that investment and I believe that it protects the long-term value of those customers and a customer doesn’t want to be look at is an individual transaction, they want that relationship with the cloud provider overtime, I think we’re much better structure to suit that on a go forward basis.
Heather Bellini: Great. Thank you.
Operator: Your next question comes from line of Richard Davis with Canaccord.
Richard Davis : Can you guys are kind of unique in a lot of ways, but what's interesting to me is that while most firms kind of started more or less with small customers and then moved up, you guys kind of landed at the top of the funnel in terms of customer size early on and so my point here is that while everyone need to uptime, big companies really need service level agreements and things like that. So my question is to what degree has your ability to kind of scale and stay up and running than a competitive differentiator because I can imagine to some degree that would be a nice reference, from a small company, go hey look we handle all the biggest guys on the planet. So if you could help me out if I was a sales person would that be a wedge that I'd be using? Thanks.
Aneel Bhusri: So, it’s a big differentiator and when we ask about, when we talk about the customers and prospects really doing the references vis-à-vis our competitors, this is one of areas that we really ask them to dig into. I think SAP had nine outages in the month of January, I think it's well documented and written up and you know in terms of SLAs Oracle's downtime when they moved from version to version they asked for two days and we migrate all our customers in two hours. So some of the fine print of SLAs and production that you get from having done it for over a decade the way we have and in the true multitenant way of getting to surface as frankly our competitors are having to deliver against their promises over the last couple of years and [indiscernible] and it's not just me it's written up I think really broadly, are really struggling to prove it out. The cloud stuff is hard and you know I tell everybody it's not like you just take all the applications, throw the up in the cloud and they work, it doesn't work that way. Ask Amazon, ask Salesforce, ask us, really got to engineer it for production and for scale.
Operator: Your next question comes from the line of Karl Keirstead from Deutsche Bank.
Karl Keirstead: I wouldn’t mind going back to your comments around the path to profitability, you seem to be hinting that there might be an improvement in fiscal '18. I'm just wondering if you could comment on what the catalyst was to get to you and the rest of the executive team to rethink that out year margin profile. And then just as a quick follow up, was there any change in invoicing duration in the quarter to call out? Thank you.
Aneel Bhusri: You know I wouldn’t necessarily say it was rethinking our focus on profitability, I think it was just putting our mind on it and candidly since we started the Company and through the IPO we've been very focused on growth. When we saw what was occurring with our HCM product line and the level of profitability we've been achieving, we looked at it and said, this is a clear pathway here and frankly I don't like the gyrations in the stock price when these markets swing wildly and I think frankly profitability is a buffer, I watched how sales versus stock traded when the market was melting down and how our stock traded, and fully there is a premium based on profitability. And while we're very focused on the market opportunity and the growth from a shareholder perspective and employee perspective having that level of profitability is important, and the Company that I admire most in the tech world like Amazon and Google and Facebook and Salesforce, it's a rite of passage, they’ve passed it and it's the next in our growth and evolution for being a long-term player in this market.
Robynne Sisco: So address your second question, Karl we really found no meaningfully changes this quarter from previous quarters and invoicing terms of duration?
Operator: Your next question comes from line of Kash Rangan with Bank of America Merrill Lynch.
Kash Rangan: Can you comment on tax rate of payroll and recruiting modules on top of your new customers you won in this quarter that's it for me thank you.
Aneel Bhusri: Those tax rates were very similar to the ones we've seen in the previous couple of quarters. I think we'll see that continue to stabilize in those product areas and we touched earlier on a couple of days kind of exciting other product areas that will see began to impact tax rate as we go into the second half of the year with planning and learning.
Operator: Your next question comes from the line of John Di Fucci with Jefferies.
John Di Fucci: What is that needs to happen for new financials contracts to get that 25% SaaS by 2018 that Gardner is predicting here, is it customer's comfort with putting something so important it's often cost to customized in the cloud or is the simple maturation of product, both years and others are out there?
Aneel Bhusri: I think it's far more the latter than the former. The CIO is the same for both HR and Finance and frankly that person is more in the driver seat. What I see in the sales cycle is frankly people are more focused on sensitivity of HR data than finance data, so I don't think it's a fear to cloud and people frankly are putting legacy systems into the cloud anyways just to reduce their processing cost. I think it's much more of the latter which is, our systems or the cloud systems has to be functional enough to turn off the legacy systems, it’s exactly what happened to the HR market back in 2011, 2012 we just hit an inflection point where clearly we had enough functionality to turn-off people software and SAP on Oracle HR system, without that people are going to carry two systems and that just doesn't make any sense. I think on the finance, we are largely there, there are still pockets around some global capabilities, planning is a huge-huge deliverable. I think planning is a big catalyst going into the end of this year and sent to the following fiscal year. So, I really think it's that functional footprint and the reality is there's no innovation happening on premise anymore anyways and if you want a modern finance system which people do in two or three years the cloud offerings are going to be the only choices that are on the market.
John Di Fucci: That’s interesting, if I could just a quick follow-up. Because often times we hear, especially your comment about the sensitivity of HR perhaps being even greater than financials, because often times, we'll hear people out there, so called the experts say something that conflicts with that and why do you think financials would be less sensitive than HR data?
Aneel Bhusri: When you sit down with Chief Security Officer at a Fortune 500 company, they're so-so sensitive on the loss of any employee data. And finance data has a time value to it, it's valuable for only a short amount of time and in many cases it's not even, it's not even that useful in the hands of other people, but people’s self-security numbers and personal information, are things that are near and dear to the hearts of every Chief Security Officer and there're frankly privacy and security rules again around it. And I think what's happened in that marketplace is they've come to a conclusion, there's cloud actually far more secure and private than anything that was being done on premise and I think the same thing is happening with finance.
Operator: Your next question comes from the line of Mark Moerdler with Bernstein Research.
Mark Moerdler: So, now that you've build the new tools to be able to implement more quickly to the mid-sized market making it more affordable from the services point of view, how should we think about the opportunity impact of selling to more mid-market on revenue as well on margins? And then a quick follow-up.
Aneel Bhusri: I don't think it's going to have -- if these tools work the way we expect them to work and we've already got good points that they do, I don't think it's going to have any impact on margins. It definitely opens up a broader segment of the marketplace. When you look outside the U.S. many of the large economies are frankly mid-market economies, Germany as an example is full of mid-market sized companies. So, this new approach to deployment has paced off hugely across the globally, not just in the U.S. mid-market, so I think it opens up a significant chunk of our market both for HR and financials across the globe. And it's not like we haven't been successful there, it just that we tend to be successful with Silicon Valley high growth company that expects to be a large company and they're willing to pay a little extra for Workday, but if it's a mid-market company that's largely going to stay a mid-market company. In some cases the deployments have been too expensive and this addresses that issue. And the other part that we've seen with the mid-market is that they do like the platform purchases and that frankly reduces the sales and marketing costs as you can sell the platform them.
Mark Moerdler: And that brings me right me to my follow-up, how do you think going forward we should think about the mix of full platform sales versus selling of just HCM or financials, how much do you think that increases or how much do you think overall it could within the mix?
Aneel Bhusri: Well, I just sort of define the question maybe slightly differently and then turn it over to Phil, I think large enterprises typically don't buy platforms, they don't buy the systems together because the projects are probably on different timelines, but the idea that they might be a platform customer because they buy two separate transactions is high and I think that will be, I don't know what's you get 50%. Yes, I think it is certainly approach that and I think your point there and the question is it's a profile on how those market segments buy and they're a far larger number of what's been traditionally referred to as mid-enterprise companies that want to make one platform selection for HCM and financials. What they've been forced to do prior is to settle for products that were less sophisticated because the sophisticated products the once with robust functionality were expensive to implement, that's no longer going to be the case. Just because the company is smaller doesn't mean they have less sophisticated functional needs, so we think the opportunity that we have to bring the right product from a feature and function standpoint with the right technology platform, cost effectively implemented, provides a great opportunity for growth for us.
Operator: Your last question comes from the line of Pat Walravens with JMP Securities.
Pat Walravens: What kind of acquisitions should we expect from Workday? I mean are there any particular technology areas, for example that you could go deeper in with the right acquisition?
Aneel Bhusri: There are, I'm not sure how much we want to share on the call. I would say that, look at our past acquisitions as a precursor to future acquisitions, we tend to look for core technologies that improve our platform rather than big revenue streams, and so if you look at what we've done recently [indiscernible] for collaborative spreadsheets, MediaCore for video learning platform, Identified for data sciences, Cape Clear for integration. I think that's a pretty good lens to look through what we do in the future and all of those are now sown in and native to our platform. The [indiscernible] technology is the basis for what we're doing and planning, a MediaCore technology is the basis what we're doing in learning, I would look for acquisitions in that manner, that answers your question Pat?
Pat Walravens: Okay, yes. I think we'll see it. And then as volumes regarded, and I think you address this briefly with your comment about profitability in the stock price, but when we look at some of these survey websites, it looks like the moral maybe took a dip among employees at Workday, I know that’s something that you're still focused on. Is there anything you can tell us about what might cause that whether it's true impact and what plans are to address them?
Aneel Bhusri: We've definitely had some growing pain over the last 12 months. Half of the employees have been at the company for two to two and half years. It's a topic that we've been on for the last six months and one by one, I read the Glassdoor stuff very carefully, we're trying to get to the root of some of the issues and I think we've addressed a bunch of them, in some cases we just needed to organize that functional area differently to adjust for scale, and candidly we have a bunch of college grads that we needed, we have done a great job bringing them into the company, we've got a better job creating long-term clear path for them and these are all things that are we got under waiting. So I feel very good where we are today, I would say three, four months ago, this was an area of concerned and working with Ashley Goldsmith our great CHRO, we've been on it and making big progress and I think we'll be back to the old ways or the old view of the company from new employees. But I can't really think this is a bigger challenge for any high growth company that has a positive culture, more challenging than actually the competitions is just keeping sure that -- keeping the culture on track.
Pat Walravens: Great, thanks very much.
Aneel Bhusri: Thanks, everyone.
Operator: We thank you for your participation in today's earnings call. You may now disconnect and have a great day.